Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Constellation Brands’ Fourth Quarter and Fiscal Year Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I will now turn the call over to Patty Yahn-Urlaub, Vice President, Investor Relations. Please go ahead.
Patty Yahn-Urlaub: Thank you, Laurie. Good morning, everyone and welcome to Constellation’s fourth quarter and fiscal year end 2014 conference call. I am here this morning with Rob Sands, our President and Chief Executive Officer; and Bob Ryder, our Chief Financial Officer. This call complements our news release which has also been furnished to the SEC. During this call, we may discuss financial information on a GAAP comparable, organic and constant-currency basis. However, discussions will generally focus on comparable financial results. Reconciliations between the most directly comparable GAAP measure and these and other non-GAAP financial measures are included in the news release or otherwise available on the company’s website at www.cbrands.com. Please also be aware that we may make forward-looking statements during this call. While those statements represent our best estimates and expectations, actual results could differ materially from our estimates and expectations. For a detailed list of risk factors that may impact the company’s estimates, please refer to the news release and Constellation’s SEC filings. And now, I’d like to turn the call over to Rob.
Rob Sands: Thanks, Patty and good morning and welcome to our year end call. Well, it has certainly been another productive and very exciting year at Constellation. It was just about one year ago at this time when we received regulatory approval to proceed with the completion of our most transformational acquisition in the history of our company. As you know, the beer deal has positioned Constellation as the largest multi-category supplier for beer, wine, and spirits. We are not only the third largest total beverage alcohol company in the United States, but the number three brewer and seller of beer for the U.S. market as well as the largest marketer of imported beer. And to reinforce our position as a top-tiered player in this space, we posted the highest dollar sales growth in IRI channels for fiscal 2014 amongst our key competitors in the total beverage alcohol category. Our fiscal 2014 results are a testament to the significant contribution that our beer business is making as we had an exceptional year posting sales, profits and cash flow that were better than our expectations for both the Crown commercial business and our new brewery in Nava, Mexico. The beer segment generated sales growth of 10% with corresponding depletion growth of nearly 8%, which represents a significant outperformance of the import category and the overall U.S. beer market. As a matter of fact, in fiscal 2014, our beer business accounted for 85% of total import category dollar sales growth and gained more than 50 basis points of market share of the U.S. beer industry in IRI channels. So what’s driving this phenomenal level of growth, it’s a combination of robust consumer demand, strong sales execution, excellent support from our wholesalers, creative new marketing and advertising programs as well as the outstanding efforts of our commercial team and our brewery team in Mexico. I would like to take a minute to share some of this past year’s amazing accomplishments for our iconic beer brands. As you know Corona Extra is the best selling imported beer at more than 100 million cases and is now outselling the nearest import competitor by almost 50 million cases. By executing well designed marketing campaigns and leveraging its brand equity, Corona Extra posted depletion growth of almost 4% in group volumes by nearly 2.5 million cases in fiscal 2014, jumping to the fifth best selling beer overall, while posting positive volume trends for the third consecutive year. As for Corona Light it is the best selling imported light beer at more than 13.5 million cases and continues to strengthen its own identity with its creative advertising that is driving consumers to trade up from domestic lights. Overall Corona Light is outpacing the import light category and currently represents more than 50% of segment dollar share in IRI channels. Modelo Especial is the fastest growing Constellation beer brand, with depletion growth of almost 20% in fiscal 2014. It exceeded the 50 million case milestones during the year with the most volume gains and largest volume trend of any top 15 beer brand. Pacifico increased volumes 5%, which marks three consecutive years of volume growth and Negra Modelo posted its fourth consecutive year of annual volume growth at 4%. While draft currently represents a small part of our overall volume, depletions grew more than 35% for this format, increasing brand recognition for Corona Light, Negra Modelo, and Pacifico brand throughout fiscal 2014. The five core brands within the Constellation beer portfolio are ranked in the top 15 imports and collectively account for more than 175 million cases representing greater than 50% of the volume of this category in 2013. Overall, as we begin fiscal 2015, we will be focused on the following strategies from our beer business perspective. The continued expansion of our new brewery in Nava, Mexico, which I will discuss in more detail in a few moments, maintaining the marketplace momentum for the commercial side of the beer business with incremental investments in marketing and SG&A and finally driving the great organic growth opportunities within this product portfolio. I am excited about the organic growth prospects for our beer business in fiscal 2015, as we are once again targeting sales and depletion trends to exceed U.S. beer industry and import trends. Some of the initiatives we have underway to drive these results include the following. As we head into the Cinco de Mayo holiday, we will continue to build our Corona de Mayo equity to reinforce our positioning around Summer’s First Fiesta to create momentum to keep Corona top of mind with consumers and our wholesalers as we kick off our 120 Days of Summer. Our 120 Days of Summer campaign will highlight 18 different weekly themes with special activities, content and prize drawings. The goal is to own the summer by driving repeat consumer engagement and purchase throughout the key summer selling season. New Corona national TV and digital video that launched recently to support these efforts will ramp up leading into Cinco de Mayo with high profile media properties that includes the NBA Playoffs on national TV. In addition, promotional, digital and radio advertising and digital video sponsorships will launch leading into key occasions, including the World Cup and the ESPN NFL Draft. To continue to reach new consumers and increase awareness of the brand, Corona Light recently expanded its draft offering to over 100 distributors and 35 markets. This launch will be supported by 15-second advertising spots airing with high profile sports programs that position the brand as a light beer with taste. Two new ads from Modelo Especial’s Hispanic Real World campaign will launch in the first quarter with strong support and targeted Spanish language TV and digital video programming. In addition, Modelo Especial will feature a 2014 summer promotion that includes a sweepstake with three prize tiers, including a custom soccer tour to three global soccer destinations. A natural launch of Modelo Especial Chelada began April 1. This initiative is supported by Spanish-language TV ads on national Spanish networks, consumers sampling at retail, PR in key markets, social media engagements and C-store print trade ads. In its first six months since launch, Modelo Especial Chelada has significantly outpaced our distribution and volume forecast. From a brewery and operational perspective, we began fiscal 2014 by successfully completing the initial transition of our new brewery in Nava, Mexico. As you know, we are currently concentrating our effort on doubling the size of this brewery from 10 million to 20 million hectoliters, including the build of a new brew house, packaging area and warehouse as well as completion of site infrastructure. Overall, beer operations continue to run smoothly. The beer expansion project remains on time and all major brewery key performance metrics and initiatives are on or better than target. Establishing foundations for the brewing area are well underway. Mass excavation for the packaging area is in progress and the first shipment of brewery tanks is expected to arrive shortly. There are more than 500 construction people on site each day with that number growing significantly over the next few months. As we have progressed with this major undertaking, we have determined that we need to increase the capital required to complete the brewery expansion from our original estimate of $500 million to $600 million. The primary drivers of the increased investment to a range of $900 million to $1.1 billion include the following. This most significant incremental cost related to outsourcing and utilizing third-party external engineering resources and consultants versus the initial brewery build by Modelo, which has the benefit of utilizing in-house resources. In addition, the timeline for the current expansion is much shorter than that of Modelo’s original build resulting in additional costs for expediting much of this project. Other incremental expenses include inflation on materials since the original brewery build and investments to improve brewery efficiency and flexibility to enhance overall capacity utilization in order to support the growth of the business. In a few moments, Bob will provide additional details about how this incremental spend will impact free cash flow and our de-leveraging efforts going forward. Now, turning to the wine and spirits business, before we begin our year end review and discussion of our wine and spirits plans for fiscal 2015, I’d like to mention that I am very pleased we have reached a long-term strategic agreement with VATS Liquor, a Chinese producer and distributor of spirits and wine. We plan to jointly develop and exclusively market and promote the iconic Robert Mondavi brand, which is world’s number one selling table wine. And China, China is currently the fifth largest wine consumption market globally selling more than 200 million cases annually. It’s a market that has doubled in size in five years. Category growth in China continues to be driven by imports which are projected to comprise about one-third of total wine consumption within the next five years. We are looking forward to working with VATS who has a vast distribution network, professional brand building capabilities and an established retail presence for consumers to buy fine wine and spirits. And now I would like to focus our discussion on Constellation’s year end results for our wine and spirits business as well as our strategic plans for the year ahead. As we discussed, fiscal 2014 represented the year of focus on brand building activity for our U.S. wine and spirits business in order to ensure that our business remained healthy and was positioned to generate profit growth going forward. These activities included incremental promotion and marketing investments that enabled us to maintain our marketplace momentum by achieving market share volume gains and above market depletion trends of 3.5% across our entire U.S. wine and spirits portfolio, while our collection of Focus Brands grew at almost 6% for the year. In addition, we were able to maintain dollar share in measured channels. As a result of these efforts, we continue to garner awards and recognition for prominent industry publications, particularly for our new products and our Focus Brands. They include the following. We won 11 2013 Hot Brand awards from Impact Magazine and several of our new brands landed on Beverage Information Group’s list of 2014 Growth Brand Awards. Our Focus Brands that received these awards included Kim Crawford, Mark West, Black Box, SVEDKA Vodka, Ruffino, Rex Goliath and Woodbridge, just to name a few. And our new product offers – offerings included on the awards list were The Dreaming Tree and Thorny Rose. The Dreaming Tree also received the distinction of Best New Wine Product from MarketWatch. From a spirits perspective, for fiscal 2014 SVEDKA posted double digit consumers takeaway trends in IRI channels in addition to gaining volume and dollar share of the vodka category. SVEDKA is currently the number two imported vodka brand and a top 10 spirit brand in the U.S. In fiscal 2015, we plan to capitalize on the continued growth of flavored vodkas by launching Mango, Pineapple and Strawberry Lemonade as additions to SVEDKA’s flavor lineup. For the year, Black Velvet grew volumes 11% in IRI channels driven by the core Black Velvet brand as well as new flavor introductions Toasted Caramel and Cinnamon Rush. From a wine and spirits strategic perspective in fiscal 2015, we plan to leverage the hard work and significant accomplishments we have made throughout the last several years to grow profits for this business, while also growing revenue. And we are committed to executing the following strategies in an effort to make this goal a reality. Number one, our marketing efforts will be focused on a subset of Focus Brands in order to drive key brands that have scale, higher margin and the greatest growth potential. Number two, we will continue to drive margin accretive innovation and new product development. Number three, we plan to increase points of distribution and deliver more effective feature and display activity at retail with added accountability and visibility for both Constellation and our distributors. Number four, for the first time in several years we plan to execute price increases for select products in the value and luxury segments of the market where pricing is currently occurring. And number five we will minimize COGS increase through continued global blend management initiatives and lower grape cost. Overall, we plan to limit our marketing expense to grow in line with our net revenue with the concentration of spend focused on key margin accretive Focus Brands. One of the things that will impact fiscal 2015 financial results for our wine and spirits business, particularly in the first quarter is that we are working with one of our exclusive distributors to reduce their inventory levels. Because this action is outside the scope of their contractual arrangement with us, they have agreed to a make whole payment as they begin to reduce their purchases of our products. As I mentioned, this is primarily a first quarter event and will have a minor impact on sales for the year. In a few minutes, Bob will discuss the financial implications of this action from a P&L perspective. Before I close, I would like to address the potential drought issue in California as we have received several inquiries related to this topic. Fortunately, grape wines are highly drought resistant and can actually produce better fruit in dry conditions. At this stage, our California wines have begun to bud and the state in general is running approximately two weeks ahead of schedule. While recent heavy rains have improved our overall position, California is still officially in drought status and at this time we do not yet know the potential overall impact from this situation, because it is too early to call. If drought conditions persist, we have the ability to source bulk wine from around the world in order to supplement which could potentially be a short harvest. Keep in mind that an above average harvest last year created a situation, where we currently have adequate supply. In closing, we had a great year driven by our beer business. We also achieved above market depletion growth and market share gains across our beer and wine businesses. The strong operating cash flow that we are generating will allow us to capitalize on value creating opportunities going forward and the new Constellation is well-positioned to drive value for the future. I would now like to turn the call over to Bob for a financial discussion of our year end business results and our outlook for fiscal 2015.
Bob Ryder: Thanks, Rob. Good morning everyone. As we close out fiscal ‘14 and move forward into fiscal ‘15 which is very exciting time at Constellation for employees, investors, lenders, vendors and consumers. As Rob said, fiscal ‘14 was a very strong year, where we closed our beer transaction, maintained or grew market share and are growing beverage alcohol categories, established some all-time highs with EBIT up nearly 60% and comparable basis EPS almost 50% while generating sales approaching $5 billion and free cash flow which surpassed the $600 million mark. And we exceeded all consolidated guidance metrics provided at the beginning of the year. We expect fiscal ‘15 to be another exciting year. We expect to maintain or grow market share and grow EBIT at or above our sales growth on an organic basis. On an absolute comparable basis, performance will be much better as we enjoy our full year of consolidated beer economics and we expect operating cash flow to cross the $1 billion mark. Let’s begin to look at fiscal ‘14 results. Our comparable basis diluted EPS for fiscal ‘14 came in at $3.25. This represents a sizable increase versus last year as we continue to realize the tremendous accretion attributable to the beer business acquisition, which is significantly enhancing our sales, operating profit, operating margin and free cash flow. The strong marketplace momentum and financial performance for the beer business continued in Q4. This drove year-to-date financial results ahead of our expectations and capped off a phenomenal year for Constellation. Given those brief highlights, let’s look at full year fiscal 2014 performance in more detail where my comments will generally focus on comparable basis financial results. As you can see from our news release, consolidated net sales for the year included $2 billion of incremental net sales related to the beer business acquisition as we consolidated 100% of beer sales as of the June 7, 2013 acquisition date. For fiscal 2014, beer segment net sales increased nearly 10% on volume growth of 7%. Depletions were equally strong growing close to 8%. Wine and spirits net sales on an organic constant currency basis increased 2%. This reflects an organic branded wine and spirits shipment volume increase of almost 4%, partially offset by higher promotion expense, unfavorable mix, and lower bulk spirit sales. For the year, consolidated gross profit increased $892 million. As you know, under the Crown joint venture structure, we recognized our share of Crown’s earnings on the equity earnings line. Since the close of the beer transaction, 100% of Crown’s results along with the Mexican beer production profit stream are consolidated by Constellation. Incremental gross profit from the consolidation of beer was $891 million. This produced a beer segment gross margin of 44% based on the incremental beer sales discussed earlier. For the year, our consolidated gross margin was 41.2% versus 39.9% for the prior year. This increase primarily reflects the benefit from the consolidation of the beer business, partially offset by lower gross margin in wine and spirits, driven by the higher promotion expense. SG&A for the year increased $280 million. The incremental SG&A associated with consolidating the beer business was $260 million. Essentially all of the SG&A for the beer business is related to Crown as the brewery has very little costs classified as SG&A. The remainder of the SG&A increase was primarily driven by higher selling and marketing investments in the wine and spirits business. Based on what I just outlined, incremental operating income generated by the beer business was $630 million for the year. This produced a beer segment operating margin of approximately 31% since the close of the acquisition. The inclusion of the beer business results was the primary driver between the – behind the 410 basis point improvement in our consolidated operating margin for the year. Equity earnings from the Crown joint venture totaled $70 million compared to $220 million in the prior year. The decrease was due to the timing of the beer business acquisition. Interest expense for the year was $323 million, up 42% versus last year. The increase reflects higher average borrowings as a result of the acquisition funding, partially offset by a lower average interest rate. That provides a good spot to discuss our debt position. At the end of February, our total debt was $7 billion. This represents a $3.7 billion increase from our debt levels at the end of fiscal ‘13. The increase primarily reflects the financing for the beer business acquisition, partially offset by some of our cash build in advance of the transaction and our free cash flow generation. I would also like to remind you that in June, we expect to make a $558 million post closing purchase price adjustment payment for the beer transaction. We also have $500 million of 8 3/8% senior notes that are coming due in December. Our comparable basis effective tax rate came in at 31%, which reflected benefits from integrating the beer business and the benefit of foreign tax credits. Now, let’s briefly discuss Q4 results. Comparable basis diluted EPS for the quarter came in at $0.81. The quarter reflected significant acquisition benefits. And as mentioned earlier, beer performance exceeded expectations. For Q4, beer segment net sales increased 13% on volume growth of 10%. This was somewhat offset – this was somewhat of an easier comparison versus Q4 last year when sales increased 1%. Consumer demand remained strong as depletions for the quarter were up nearly 12%. Wine and spirits net sales on an organic constant currency basis increased 1% as volume growth was mostly offset by unfavorable mix and higher promotional spend. Now, let’s discuss free cash flow, which we define as net cash provided by operating activities less CapEx. For fiscal ‘14, we generated $603 million of free cash flow versus $494 million in the previous year. This result exceeded our expectation primarily as a result of the strong beer business performance in Q4. Operating cash flow for the year totaled $826 million, an increase of $270 million over last year. The increase was primarily due to the profit growth for the beer business acquisition partially offset by higher interest payments and lower contribution from wine and spirits primarily due to some working capital timing. CapEx for the year totaled $224 million, an increase of $161 million. CapEx for the beer segment totaled $137 million. Most of the beer spending occurred in the fourth quarter as brewery expansion activities began to ramp up. Now, let’s move to our full year fiscal 2015 P&L outlook. We are forecasting comparable basis diluted EPS to be in the range of $3.95 to $4.15 a share. For fiscal 2015, we are targeting mid-to-high single-digit net sales growth for the beer segment. Shipment and depletion volumes are targeted to grow mid single-digits and continue to outpace the import category and the total beer industry. For fiscal 2014, beer segment operating income totaled $773 million. This amount is presented in our summarized segment information in our press release financial statements and includes 100% of Crown’s operating income for all of fiscal 2014 and brewery profits since the June 7 acquisition date. For fiscal 2015, we expect beer segment operating income to grow in the low to mid 20% range. Excluding the estimated brewery acquisition benefit, underlying operating income growth for the beer segment is expected to be in the 10% to 12% range. For wine and spirits, we are targeting net sales growth to be in the low to mid single-digit range. Volume growth is expected to be in the low single-digit range and we expect to generate positive mix. While we expect depletions to track in line or better than the U.S. wine and spirits category for the year, shipment volumes are projected to be lower than depletions as we expect some distributor inventory reduction to occur during the first quarter as Rob highlighted earlier. Operating income growth for wine and spirits is expected to align with net sales growth in the low to mid single-digit range. Headwinds from grape costs are expect to abate as we continue to realize benefits from blend management initiatives and we begin to move into lower priced grape inventories. We expect promotional and marketing spending to stabilize and we are increasing prices on some products in the value and luxury categories as Rob outlined earlier. We also expect mix to be favorable in the fiscal ‘15 as we focus more of our investment on higher margin products. Interest expense is expected to be in the range of $345 million to $355 million. The increase versus fiscal ‘14 is primarily being driven by the beer acquisition funding impact that carries into Q1 of fiscal ‘15. The tax rate is expected to approximate 30%. This represents a slight decrease versus the fiscal ‘14 comparable basis tax rate as we expect to realize some favorable outcomes on various tax items. Free cash flow is expected to be in the range of $425 million to $500 million. Operating cash flow is targeted to reach at least $1 billion as we continue to realize earnings benefits from the beer business transaction. CapEx is projected in the range of $575 million to $625 million, including $450 million to $500 million for the beer business driven by the brewery expansion activities outlined by Rob. We are still on track to complete the brewery in calendar 2016. Although the brewery expansion CapEx is higher than our original estimate, beer volumes and profits are also higher. Even with the higher CapEx spend, our goals of reaching $1 billion of free cash flow in fiscal ‘17 and moving our debt to comparable basis EBITDA leverage ratio below four times in fiscal ‘16 remain intact. I would now like to mention a couple of items from a fiscal ‘15 quarterly gating perspective. As discussed earlier for wine and spirits, we expect some distributor inventory destocking to mostly occur during Q1, which will impact our shipment volume. As a result, we expect net sales to be down in the low to mid-single digit range for Q1. However, we don’t expect this to negatively impact profits as we will receive a make-whole payment from the distributor related to this activity in the same timeframe. I would also like to note that our targeted wine and spirits EBIT growth for fiscal ‘15 is weighted toward the second half of the year. From a beer gating perspective, I would like to note that we will be facing some difficult comparisons in the second half of the year. Our comparable basis guidance excludes unusual items, which are detailed on the last page of the release. We currently estimate one-time cost at $60 million in fiscal ‘15. This includes about $25 million in professional services and transition costs associated with the beer business acquisition. These costs were originally expected to occur in fiscal ‘14, but shifted to fiscal ‘15. The remaining $35 million represents amortization expense related to the acquisition accounting asset established for the interim supply agreement for beer finished goods. I would like to make a few brief comments on commodity risk management. We have begun to hedge certain commodities in the energy and agricultural categories. These commodity derivatives generally do not qualify for hedge accounting treatment. As a result mark to market unrealized gains and losses on open hedge contracts will flow through our GAAP income statement. We will exclude these unrealized gains and losses from our comparable earnings. At the time that a gain or loss is realized on a commodity hedged, it will be allocated to the appropriate business segment for reporting and will be included in our comparable earnings. This approach is in line with other companies in the consumer space. We began this reporting in the fourth quarter. At the end of fiscal ‘14, it was an immaterial unrealized gain related to this activity. Before we take your questions, I would like to highlight that the beer acquisition has been a game changer. In addition to the positive financial impact of the acquisition, our commercial performance has accelerated dramatically. Despite the increased cost to build out the brewery, our improved commercial results keep our free cash flow and deleveraging goals intact. The improved commercial performance of the beer business improves our financial profile and we currently anticipate exceeding our original IRR and shareholder value assumptions for the beer transaction despite higher capital costs for the 20 million hectoliter build out. With that, we are happy to take your questions.
Operator: (Operator Instructions) Your first question comes from the line of Nik Modi of RBC.
Nik Modi - RBC: Yes, thanks. Good morning everyone. Just two questions on my end. If you can just kind of reiterate, I am sorry if I missed it, how much CapEx has already been spent on the brewery expansion. And then the second question is really trying to frame the opportunity that you might have in China, certainly long-term it makes sense and probably a big opportunity, just trying to get some texture on how much of a P&L implication it could have in the next 18 months or so?
Bob Ryder: Sure, Nik. I will handle the first one and Rob can handle the China question. As far as how much capital was spent on the brewery in fiscal ‘14 that was just shy of $140 million and that pretty much all occurred in the fourth quarter.
Nik Modi - RBC: On to China?
Rob Sands: Sure. Hi, Nik. China, I think you really have to look at that as the long-term investment or I would say a long-term project. We are just really kind of getting up and running and developing our plans. It hasn’t been a material business there historically. So, the idea is developing it into a material business in that market, but it’s going to take a number of years. So, I wouldn’t expect it to have any real impact from a financial perspective in the short-term.
Nik Modi - RBC: Great. And just one quick follow-up, I know it’s still early in the transaction, but the margins have been tracking ahead of I think what most people have been expecting and I know there is still a lot of spending to come in the beer business, but have you thought about the 30% to 35% since you kind of initially gave that guidance, and if you think there is kind of where you might be in that range at the higher end maybe even able to exceed that at some point in the next couple of years?
Bob Ryder: Yes Nik. We are not updating our guidance in that area. We would be happy if it exceeds it, but we have still got quite a few of steps involved in negotiating our commodity contracts as a standalone company. Going forward, as you know, we have talked about – we haven’t settled anything on glass, which is a big piece of the cost, cost inputs for our business. So, we are very happy with the progress of the project, certainly the progress of the beer business, but we are not changing our margin guidance. What might be throwing people off a little bit is maybe in the fourth quarter, the beer business had increased margins and really what that is, is in the fourth quarter again I think volumes exceeded our expectations, but we spent accounting wise very little marketing in the fourth quarter. So, you had a pretty high level of sale certainly growth to the prior year with very little marketing expense against it. For the full year, the margin from the date of acquisition through the end of year was about 31%, which was a little bit higher than what we guided when the transaction just started, but very much in the ballpark. So, we are sticking to that mid 30% operating profit margin guidance.
Nik Modi - RBC: Fair enough. Thanks a lot.
Operator: Your next question comes from the line of Bryan Spillane of Bank of America.
Bryan Spillane - Bank of America: Hey, good morning.
Rob Sands: Hey, Bryan.
Bob Ryder: Hey, Bryan.
Bryan Spillane - Bank of America: Just two questions, the first one just related to the capital spending in, I think this is the crux of why the stock has responded the way it has this morning. Bob, could you walk through first now that you have got a better sort of perspective or a deeper perspective on the project and the cost increase. Is the brewery going to be more efficient and is there an enhancement in efficiencies both in the existing capacity and maybe what you are going to be building versus what you originally thought? And then the second question related to that is just I think there is some concern and you have got the run rate right now on volume growth and beer is very strong and how do we think about the potential to have to add more capacity going forward? Does the increase in spending at all make it less expensive to add capacity going forward?
Rob Sands: So, yes, Bryan, I will answer that for you. Number one, the fundamental answer to your question is yes, we are designing the brewery in a manner to get more volume out of the capacity that we originally planned. So, we are expanding the brewery from 10 million to 20 million hectoliters in theoretical capacity that still remains the case, but in terms of the efficiency, i.e., how many cases will actually get out of that? We are expanding the brewery in a manner to get more cases out of that than we originally planned. That’s point number one. So, we are taking steps in that regard to plan for higher volumes than we originally anticipated. And then with respect to your second question, the capacity that we are currently building we do expect to be sufficient on four, I would say the mid-term meaning the next few years. But if the business continues to grow at the rate that it’s currently growing, we will have to be thinking about additional capacity increases sometime in the near future in the next couple of years and to begin that process so a good problem to have in essence.
Bob Ryder: Yes. And Bryan just to follow-up on Rob, we are currently assessing because volumes are doing so well. When do you expand capacity and where do you expand capacity, so related to that question if we were to put the next tranche of capacity expansion at the existing brewery, I think we would get some efficiencies from the $1 billion we are spending on the first 20 million hectoliters. If we decided to put the capacity somewhere else meaning you build another brewery or buy a brewery somewhere, then that wouldn’t help us so much. So we are currently in the thought process around that.
Bryan Spillane - Bank of America: And then fair to characterize the higher price tag especially for the outsourcing in part helps to ensure that you meet the calendar ’16 deadline, meaning you are sort of paying to get the front of the line?
Rob Sands: Yes, there is definitely a premium that we are paying to complete the project within the three year timeframe. There is no question about that. It’s pretty much half the timeframe in which the original brewery is built and it’s a pretty compressed timetable. And we have got to do everything in our power to ensure that the brewery is built in that timeframe, so.
Bob Ryder: Yes, we are happy to see that even with that increased capital costs as I mentioned earlier because I know a lot of investors are keeping an eye on our de-leveraging and keeping an eye on when we potentially reallocate capital. So all those de-leveraging targets and free cash flow targets even though we have increased these capital spend they all remain intact. So frankly after you get past the brewery, right what that means and you guys know your math guys right is the EBIT higher, right. So that’s going to drive much better returns after you get past this stage where kind of the snake is eating a camel.
Bryan Spillane - Bank of America: Got it. Okay, I am going to get back in the queue. Thanks guys.
Operator: Your next question comes from the line of Bill Chappell of SunTrust.
Bill Chappell - SunTrust: Good morning. Just want to follow-up one more time on Bryan’s questions, excuse me. So I was just to trying to understand over the past maybe six to nine months at what point did it seems like the timeline for the new plant is still the same and the size is still the same, where did all of a sudden it changed in terms of your budgeted costs, I mean what came about really changed that versus what we saw kind of six to nine months ago when you are first talking about this?
Rob Sands: Yes, well six to nine months ago we had obviously just closed the deal. We have very short timeframe to actually decide and agree to purchase the brewery and purchase it, we put together at that time a very rough estimate of what we thought the cost would be and we spent the last basically nine months bidding out the project and translating it into definitive cost which have resulted in the number that we disclosed. So there was definitely changes in the scope of the project from what we also originally – what we originally thought. And it was along the lines that Bryan suggested in that, although we are building the same 20 million theoretical capacity, okay and we expect to get more out of it and scope the project to get more out of it than originally planned. So whereas you might only get 80% or 85% efficiency out of your theoretical capacity, we are building the brewery now to get more out of it than that. Really as the result of the increased growth in the products that we are experiencing and that we expect to continue into the next fiscal years. So that’s basically why or how the brewery project cost increased from our original estimates which were really in many respects just a swag, in that we – it had not been able at that stage and obviously so to bid the project and to scope it fully.
Bill Chappell - SunTrust: Got it. And then just a couple of things also on the beer, wasn’t there at some point a change in the price you are paying for the 40% outsourced and will that change, any update on that? And then on the beer pricing in general is your guide to assuming a price increase for kind of the fiscal 2015?
Bob Ryder: Yes, there was a price reset for what we pay InBev for the finished goods that they are making for us based on the audited EBITDA of the acquired business, but building the brewery out does not change any of that. Those numbers are still intact.
Bill Chappell - SunTrust: Sure. And then in terms of overall pricing for this year to the consumer for the next year?
Bob Ryder: Yes, I mean, on pricing, we will – as we said before, beer is a very regional business. So, we look at what’s going on with volumes and what’s going on with competitors in our various different regions and we talk to distributors, we talk to retailers to try to assume what will happen to volumes, what will consumers’ reactions be to the price increase, and then we determine what that price increase will be on a regional basis, then it kind of rolls up. So, the only way you will know kind of what happens is to watch IRI, generally beer pricing occurs right after the peak summer season. So, September, October, you will be able to see what the big boys have done and what we have done and we take a guess generally what pricing would be when we give guidance. So that’s included in the volume and net sales guidance you would have seen in our beer segment.
Bill Chappell - SunTrust: Okay. I will get back in the queue. Thank you.
Operator: Your next question comes from the line of Caroline Levy of CLSA.
Caroline Levy - CLSA: Good morning, everyone. Thank you so much. One of my questions is can you tell us what the difference was between beer volumes in California and in the rest of the country? I am trying to drive at mainly what the drought impact was on demand, but also my understanding is that in areas where Corona is strongest, it’s actually growing faster. So, if you can just sort of disaggregate a little bit of what you understand about your beer business?
Bob Ryder: Yes, there is a couple of things going on there, Caroline. We actually did have a very strong year in California. It’s our highest share state. It’s kind of where Corona began. I think we are around 20% share. But as Rob mentioned in his statements, right, they are experiencing a drought in California, so actually we experienced very good beer weather in California. And we also have like elsewhere in the country, very good consumer momentum from our great marketing and our great sales initiatives, but we did have pretty favorable weather for beer in California and we are very happy with our results out there in fiscal ‘14.
Caroline Levy - CLSA: But I am just trying to understand what happened in the rest of the country, was the rest of the country up sort of mid single-digit?
Bob Ryder: Yes, we had our strongest performance in fiscal ‘14 in the west and the south. We had strong performance, but not as strong in the Midwest and the East. Okay, it’s kind of how we broke out regionally, but we grew in every geography, we gained share in every geography, we grew in every channel, we gained share in every channel, but we did better in the west and the south.
Caroline Levy - CLSA: Right, okay, thank you. Now, just moving to wine, the issue with the distributor inventories is this one distributor, is this something that’s a one quarter phenomenon, if you could just help us understand a little more about what’s going on there and how long it will take to work through the system?
Bob Ryder: Sure. It’s – yes, the answer is it’s one distributor and yes, we are anticipating that it will be a one quarter or first quarter phenomenon and as we mentioned it will have no impact on our bottom line, no impact on earnings whatsoever.
Caroline Levy - CLSA: Okay. And as we think through one, I mean it’s always got challenges, but always for different reasons, but as a long-term top line growth rate is 3% to 4% reasonable sort of assumption given a blend of volume and – I mean volume and pricing do you think that still holds?
Bob Ryder: Yes, Caroline definitely sort of the 3%, 4% range is sort of a good number that’s sort of what the industry has been growing at. We are pretty optimistic about our wine business going into this year, our 2015 fiscal year as I have mentioned we got a lot of I am going to say tailwind this year. We have been focusing for the last few years on developing strong momentum behind our brands making sure our brands are healthy. And as we move into 2015, I think that our brands are healthier than they have ever been and that positions our self well to capitalize on that and take some actions to drive profit growth as I said. So I think that that business is going to be – it’s going to make a very good contribution to our bottom line growth this year.
Caroline Levy - CLSA: Got it. Thank you so much.
Operator: Your next question comes from the line of Rob Ottenstein of ISI.
Rob Ottenstein - ISI: Thank you, guys. Can you give us your latest assessment in terms of when you may start paying a dividend, has that changed and also your thinking on M&A, is there any change there?
Bob Ryder: Sure, I will handle the first. I will let Rob handle the second. The dividend we haven’t changed the way we are thinking about it is we would start assessing redeploying capital to shareholders when we get close to being below four times EBITDA leverage and that goal has not changed. It looks like that will happen if everything happens the way we think towards the end of fiscal ‘16 is when we will get below that leverage ratio. So we would start to talk to investors and our Board in inverse order of course around that time. I will let Rob handle the M&A question.
Rob Sands: Yes. So on M&A the answer is our position or our strategy has not changed relative to M&A. Our principle goal at the moment is debt pay down that’s really what we are focused on, but obviously M&A is opportunistic, so we keep our ear to the ground for investments that we think will generate superior returns to our shareholders. But generally the focus is debt pay down versus M&A.
Rob Ottenstein - ISI: And Bob, given the tremendous success of the beer business that you are achieving and the transformation of the company as you look to do incremental investment, do you see yourself gearing more towards beer or more towards wine, has that changed at all in terms of where you are looking to take the company long-term?
Rob Sands: Well, as I have said, we are certainly focused on debt pay down at the current time, but as it relates to investments there is potentially good investments in all three categories. We look at it very fundamentally. I mean, we don’t have a favorite child necessarily. And so as opportunities arise we are going to look at investment opportunities in all three categories. And they will be evaluated on what generates the highest return in the shortest amount of time. That’s basically the bottom line right, IRR and payback. So we will see.
Rob Ottenstein - ISI: Are you taking a look at PBR?
Patty Yahn-Urlaub: Okay, Robert, I think we are going to move to the next question.
Rob Sands: Well, we can’t comment on that obviously Robert.
Rob Ottenstein - ISI: Alright, thanks guys.
Operator: Your next question comes from the line of Brett Cooper of Consumer Edge Research.
Brett Cooper - Consumer Edge Research: Good morning, guys. Two questions, one on the beer side, one on the wine side, on the beer side, I am not sure if I missed it in your commentary, but what was marketing or what are you planning marketing to be up in ‘14?
Bob Ryder: In ‘15 or in ‘14?
Brett Cooper - Consumer Edge Research: I am sorry in fiscal ‘15?
Bob Ryder: Yes. So in the beer business, we are investing commercially both sales and marketing, investing ahead of sales, because we want to keep our momentum up and because the sales and marketing guys have some good ideas that we think are worthy of investing in. So marketing and sales will be going up faster than sales. Marketing in the beer business is about 8%, 8.5% of sales which has gone up over the last three to five years.
Brett Cooper - Consumer Edge Research: Perfect. And then on the wine side, back to the distributor inventory reduction, how did that come about, who drove it, and as some of your other distributor contracts come to an end if memory serves, would you expect to see more of these types of deals? And then as a side to that, when these things have happened in the past, sometimes you hedge your distributors than more against the brands in the market, this time you are getting a payment, can you just explain your thoughts on receiving a payment versus a greater investment in the marketplace from your distributor?
Rob Sands: Sure. Number one, this is the particular circumstances of one distributor who desired to do something really outside of the parameters of our normal business relationship. That’s the answer number one. Answer number two is no, we don’t have any expectation that it will occur in any other context or in any other cases. And number three since it’s outside of our normal contractual relationship we felt that a make whole kind of arrangement was most appropriate in this particular case. And more importantly, as far as what we invest in the marketplace behind our business, we determine that completely on a commercial basis meaning it’s not based on any payments that we might receive or might not receive. We will spend what we think is appropriate to drive the business in any event. So it just still happens that with the way this particular transaction is structured, we don’t expect it to have any impact on the bottom line. And it is a – it is an isolated matter with one wholesale customer. So we bring it really to your attention and only in that it will affect the top line. In the first quarter, we really expect the top line materially even for the whole year. And as you said, it will have no impact on the bottom line. So that’s really, that’s it.
Brett Cooper - Consumer Edge Research: Perfect, thanks.
Operator: Your next question comes from the line of Bryan Hunt of Wells Fargo Securities.
Bryan Hunt - Wells Fargo Securities: Thank you. Two questions. One, Rob, when you start to talk about pricing and the value in the luxury segment of the wine business, it sounded as though you were a follower and not a leader, can you discuss maybe the level of pricing and clarify whether Constellation is leading or following price increases in the wine segment?
Rob Sands: Yes, I would say, we have about a 15% total market share in the wine segment. As you know, it’s a pretty fragmented category compared to the other two categories in the beverage, alcohol business. Therefore, I am not even sure to talk of being a leader in this and that is even particularly relevant. We take a look at our products. We take a look at the competition. We take a look at the categories. We see what’s happening. And we decide what we are going to do. Over the last few years, there hasn’t been much pricing in the wine business period. We are seeing some opportunities for pricing as we move into our fiscal ‘15 and we are going to take those opportunities that we think that they are in the high end and the lower end. So that’s where we are going to focus in terms of that element of our strategy. So it’s really as simple as that. I don’t think leader or follower makes a lot of sense in terms of even the discussion in this particular context. But yes, we look around, we see what’s going in the marketplace and we make our judgments in that regard.
Bryan Hunt - Wells Fargo Securities: And with regards to magnitude, is there any comments around that you feel to make?
Rob Sands: No. I mean, we are really developing our plans and our strategies for taking the pricing in the areas that we are going to take it and they are not fully baked at this time. So it’s really kind of hard to discuss the absolute magnitude of it at this moment.
Bryan Hunt - Wells Fargo Securities: Okay. And then my other question is when you look at the supply contracts across your businesses with the new beer business and the scale it brings to the company, you mentioned you haven’t worked on glass contracts yet and that’s an opportunity going forward, have you looked at any other supply contracts and has progress been made in kind of garnering savings given the new scale of the business?
Bob Ryder: Yes, number one, we didn’t say we haven’t or if we did say, we said it incorrectly. We have been working on glass and we have been working on other commodities. We are not at a stage yet where we are prepared to say exactly what our strategy is on glass. But it is something that we are working on. And yes we are working on the other commodities as well. And I would say the most we are prepared to say at the current time is I think that where we end up on commodities is going to be favorable.
Bryan Hunt - Wells Fargo Securities: And should we expect to see those (resources) this year?
Bob Ryder: That’s what we think.
Bryan Hunt - Wells Fargo Securities: Okay, right and should we expect to see those from a timeline perspective this year or is that…?
Bob Ryder: Sure. We will have something to say. I am sure we will have something to say on commodities as we go out, go through the year. Yes.
Bryan Hunt - Wells Fargo Securities: Alright, I appreciate your time. Thank you.
Operator: Your next question comes from the line of from Bryan Spillane of Bank of America.
Bob Ryder: Hi, Bryan.
Bryan Spillane - Bank of America: Hi, thanks for taking the follow-up. So I am just going to give you a couple of quick kind of questions, some housekeeping items and then just one related to wine pricing. First just Bob if you could talk about just what the cash tax rate was for the year and what you expect it to be next year?
Bob Ryder: Yes, so the cash tax rate for the year is kind of anomalous, so let me kind of walk you through. What we have said, we haven’t updated this guidance in a while, but we would expect a cash tax rate like the mid 20% on an ongoing basis. I would say that the beer structure will probably improve on that over the medium to long-term, and we will update you on that when things settle down. I would say that fiscal ‘14 and actually fiscal ‘15 as well are going to be pretty anomalous because of the big increase in the stock price and some option exercises from options that were expiring, etcetera or people that are just exercising some in the money, we get a tax deduction for that and that’s actually a reasonably big number, right. If you look at the cash flow statement, you can see the cash we brought in from option exercises. So that will bring the cash tax rate down, relatively dramatically while this situation goes on. We don’t expect it to last big time past fiscal ‘15. So I would call that not really an operating cash tax environment. It’s just that – the anomalous equity activity.
Bryan Spillane - Bank of America: But it will be a little better. It will be favorable in ‘15 relative to sort of what your normal run rate ought to be going forward?
Bob Ryder: Yes, I would agree with that.
Bryan Spillane - Bank of America: Okay, foreign exchange, just the peso-dollar exchange rate, and what – how should we think about that from a transaction translation impact for next year, or this year I should say?
Rob Sands: Sorry, go ahead and finish your question.
Bryan Spillane - Bank of America: I was going to say for ‘15.
Bob Ryder: Yes. So the way we handle this and actually – and we told you this on previous calls, the peso-dollar rate was more favorable than we thought because actually the rate physically has gotten favorable from when we closed the deal. We do hedge transaction exposure to the peso. There isn’t actually as much peso exposure as you would think, because most of the commodities in the beer industry are dollar-based. So, really the core peso exposure is our onsite labor at the facility which still is a sizable number, but nowhere near what you would think. And we do have hedge contracts, we go out two or three years on those and we are actually relatively hedged for fiscal ‘15, right. So – and as I recall that I haven’t looked at it in a while, but I think the peso dollar is around 13, right. So, we monitor closely and lay on hedges when they get more favorable, but we are not expecting a ton of volatility there in fiscal ‘15.
Bryan Spillane - Bank of America: Okay. And then gross margins for the beer business in the fourth quarter and the full year, I know I think you disclosed that in the last couple of calls, are you going to – do you have that figure?
Bob Ryder: Yes, I think I had it in my script. I think it said it was 44%.
Bryan Spillane - Bank of America: Okay, alright. I must have missed it, sorry about that. And then just the last one…
Bob Ryder: Please Bryan, I am exhausted man, come on.
Bryan Spillane - Bank of America: It’s the lightning round.
Bob Ryder: Exactly.
Bryan Spillane - Bank of America: The last one is just the wine pricing, Rob, if could you just characterize the decision to raise prices in wine both low end and in your premium wines, is it a function of your sort of assessment of the market, especially at the low end, where there has been quite a bit of pricing the last couple of years and so you feel comfortable with the pricing dynamic or the competitive activity sort of make you feel comfortable about taking prices up, is it a – or is it a question or a function of kind of now that you have made some marketing investments, new products investments you feel more comfortable raising prices behind that or is it have some effect on what you think sort of commodity cost or raw material cost might be in the future? Just trying to understand the motivation to take prices?
Rob Sands: So yes, yes and no.
Bryan Spillane - Bank of America: Okay.
Rob Sands: So, yes, our assessment of the marketplace and so on and so forth is the fact that we do feel pretty well positioned given our previous investments and where we are relative to momentum in brand health that the timing is right and it’s no, it’s really not related to commodity, not related to commodity cost, although from a commodity cost perspective just kind of the opposite we have. We are not facing any particular headwinds this year in wine. So we are not expecting much inflation in cost of goods sold.
Bryan Spillane - Bank of America: Okay.
Rob Sands: So that will be helpful to us from a bottom line perspective.
Bryan Spillane - Bank of America: Alright, thank you very much and thanks for being so generous with your time.
Rob Sands: Our pleasure.
Operator: Thank you. That concludes the Q&A portion of today’s call. I will now return the call to Rob Sands for any additional or closing remarks.
Rob Sands: Okay. Well, thanks for joining our call today. As Bob mentioned, the beer deal has been a real game-changer for us and the team plans to capitalize on the tremendous momentum that we have underway to continue to drive the growth, enhance financial performance of the business. As Bob said, we now expect the beer business to exceed our original expectations from a return on invested capital point of view. And I believe that our plans for fiscal 2015 prove that we have not wavered from our overarching strategic goal of generating profitable organic growth across all of our businesses, including our wine and spirits businesses. We have recently posted two videos on our website that provides nice views of the Nava brewery. I encourage you to take a look when you have a few moments. Thank you everybody for your participation today.